Operator: Good afternoon, and thank you for standing by, and welcome to the Fourth Quarter 2025 Earnings Results Conference Call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. It is now my pleasure to turn the call over to Mr. Rich Kinder, Executive Chairman of Kinder Morgan.
Richard Kinder: Thank you, Michelle. Before we begin, as usual, I'd like to remind you that KMI's earnings release today and this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities and Exchange Act of 1934 as well as certain non-GAAP financial measures. Before making any investment decisions, we strongly encourage you to read our full disclosures on forward-looking statements and use of non-GAAP financial measures set forth at the end of our earnings release as well as review our latest filings with the SEC for important material assumptions, expectations and risk factors that may cause actual results to differ materially from those anticipated and described in such forward-looking statements. I have only 2 comments before turning the call over to our CEO, Kim Dang and the team. First, we believe our bullish outlook on natural gas demand remains grounded in reality, and we expect to see very strong growth over the rest of this decade and beyond. Now while there are several important drivers of that growth, the largest and most certain driver remains the need for additional LNG feed gas to service both expansions of existing export facilities and new greenfield projects coming online. We now estimate feed gas demand will average 19.8 Bcf per day in 2026, which is an all-time record, an increase of 19% from the daily average of 16.6 Bcf per day in 2025. And we see that demand increasing to over 34 Bcf per day by 2030. This astounding growth is enormously beneficial to the midstream sector and especially to companies like Kinder Morgan that have extensive pipeline networks along the Texas, Louisiana Gulf Coast, which is the location of most of the export terminals present and future. Our throughput agreements for delivery of the feed gas are essentially take-or-pay in nature which gives us great confidence in the resulting cash flow. My second comment is specific to Kinder Morgan. You will hear from Kim and the team that we finished 2025 very strong compared to 2024 and to our budget for 2025. And as you know from our earlier release of the budget for 2026, we expect more good performance this year. Once again, the chief driver of our success in both years is the extraordinary strength of our natural gas assets. And with that, I'll turn it over to Kim.
Kimberly Dang: Okay. Thanks, Rich. As Rich said, we had a fantastic fourth quarter, producing record results for the quarter and the year. Much stronger than we anticipated when we announced our Q3 results. For the quarter, adjusted EBITDA was up 10% compared to the fourth quarter of last year and adjusted EPS grew 22%. Those are big numbers for a stable midstream business like ours. The biggest driver of the outperformance was natural gas. It had an outstanding quarter and year. Our project backlog has increased by approximately $650 million to $10 billion. We added a little over $900 million in new projects which was offset by $265 million of projects placed in service. The most 2 significant additions are Florida Gas Transmission projects, both supported by long-term shipper contracts. Our backlog multiple remains below 6x, which will drive very nice growth over the next few years. In addition, we're working on greater than $10 billion in project opportunities beyond the backlog. While we won't be successful on all of those, it gives you a sense of the tremendous market opportunity. We believe we will continue to find attractive opportunities for years to come. Wood Mac currently projects the U.S. natural gas market will continue to grow over the longer term, with an incremental 20 Bcf a day of demand growth between 2030 and 2035. Now a quick update on our 3 largest projects, MSX, South  System 4 and Trident. We started construction on Trident last week. And for MSX and South System 4, we received our FERC scheduling order. The FERC anticipates issuing our final certificate by July 31, which is a schedule we requested, but ahead of our original expectation. There's still a lot of work ahead, but all 3 projects are on budget and on or ahead of schedule. Another positive last week, S&P upgraded KMI to BBB+. That shows our balance sheet is in great shape. On the management front, I want to take a moment to recognize Tom Martin, who will retire at the end of this month, for his wise counsel and the value he has helped delivered to our shareholders over his 23 years with the company. As we have previously announced, Tom will continue to serve as an adviser to the OCC and the Board, so we'll continue to benefit from his perspective. We're excited to have Dax, who many of you know from his long tenure at the company, step into the President's role. I'm looking forward to working with him closely as we continue to execute on our strategy. To sum it up, we had a great quarter and year. We also strengthened our balance sheet and advanced key projects with a $10 billion backlog and tremendous potential beyond that we are set up for a very exciting future. And with that, I'll turn it over to David -- Tom?
Thomas Martin: Thanks, Kim. I appreciate the kind words. Starting with the natural gas business unit, transport volumes were up 9% in the quarter versus the fourth quarter of 2024, primarily due to increased LNG feed gas deliveries on Tennessee Gas Pipeline. For the full year transport volumes were up 5% over 2024. Natural gas gathering volumes were up 19% in the quarter from the fourth quarter of 2024 across all of our G&P assets with the largest impact being from our Haynesville system. Sequentially, total gathering volumes were up 9% and the full year 2025 gathering volumes were up 4% versus 2024. We experienced a significant ramp-up from our producer customers during the quarter to meet the growing LNG demand. Our Haynesville gathering system, for example, set a daily throughput record of 1.97 Bcf a day on December 24. Looking forward, we continue to see significant incremental project opportunities across our natural gas pipeline network. For example, we are in various stages of development to potentially serve more than 10 Bcf a day of natural gas demand in the power generation sector. In our Products Pipeline segment, refined products volumes were down 2% in the quarter compared to the fourth quarter of 2024. For the full year 2025, refined products lines are about equal to '24. Crude and condensate volumes were down 8% in the quarter compared to the fourth quarter of 2024. More than all of that decline is driven by taking HH out of service for the NGL conversion project early in the third quarter of 2025. Excluding HH volumes in both periods, crude and condensate volumes were up 6% in the quarter compared to the fourth quarter of '24. On January 16, 2026, KMI and Phillips 66 announced the start of the second open season on their proposed Western Gateway Pipeline system. Western Gateway Pipeline will connect Midwest and other refinery supply to Phoenix and to California with connectivity to Las Vegas, Nevada via KMI's CALNEV Pipeline. The second open season, which concludes on March 31, 2026 is for the remaining pipeline capacity and adds new access to the Los Angeles market via a joint tariff supported by the planned reversal of one of KMI's existing SFPP lines between Watson and Colton, California. In addition to expanding the offered destinations, the second open season adds additional origin points to enable supply diversification and optionality for our customers. We believe this project provides an attractive supply alternative for markets in Arizona and in California. In our Terminals business segment, our liquids lease capacity remained high at 93%. Market conditions continue to remain supportive of strong rates and the utilization of tanks available for use is 99% at our key hubs on the Houston Ship Channel and at Carteret, New Jersey. Our Jones Act tanker fleet remains exceptionally well contracted, assuming likely options are exercised. Our fleet is 100% leased through 2026, 97% leased through 2027 and 80% leased through 2028. We have opportunistically chartered a significant percentage of our fleet at higher market rates and have an average length of firm contract commitments of more than 3 years. The CO2 segment experienced 1% lower oil production volumes, 2% lower NGL volumes and 2% lower CO2 volumes in the quarter versus the fourth quarter of 2024. For the full year 2025, oil volumes are about 2% below '24 but finished strong in the quarter to be slightly above our plan for the year. With that, I'll turn it over to David.
David Michels: Thank you, Tom. This quarter, we're declaring a quarterly dividend of $0.2925 per share, which is $1.17 per share annualized, up 2% from 2024. For the fourth quarter, we generated net income attributable to KMI of $996 million and EPS of $0.45, 49% and 50% above the fourth quarter of 2024. This quarter's results included a gain on an asset sale which we treat as a certain item. Excluding certain items, our adjusted net income and adjusted EPS still grew very nicely, both 22% above the fourth quarter of 2024. Our growth was driven by newly placed in service natural gas expansion projects, contributions from our Outrigger acquisition and continued strong demand for natural gas transport, storage and related services. For the full year 2025, we beat our budget by more than the contributions from our Outrigger acquisition. Outperformance came from our natural gas business, driven by greater value on transport capacity and ancillary services. Our Terminals segment also generated better-than-budgeted contributions. We budgeted to grow adjusted EBITDA by 4% and adjusted EPS by 10% from 2024. We actually grew adjusted EBITDA by 6% and adjusted EPS by 13%. Our 2025 EBITDA and net income were at all-time record levels for Kinder Morgan. Moving on to the balance sheet. As we continue to grow our cash flows and take a disciplined approach to capital allocation, our balance sheet continues to strengthen. Our net debt to adjusted EBITDA ratio improved to 3.8x, down from 3.9x last quarter and down from 4.1x at the end of the first quarter, which was immediately following the acquisition of Outrigger. Since the end of 2024, our net debt has decreased $9 million despite nearly $3 billion of total investments in growth projects and the acquisition. So we'll go through a high-level reconciliation. We generated cash flow from operations of $5.92 billion. We've spent -- we've spent $2.6 billion in dividends. We invested $3.15 billion in total CapEx, including growth sustaining and our contributions to joint ventures. We spent approximately $650 million on the Outrigger acquisition. We've received $380 million on divestitures, primarily the EagleHawk sale. And then we had all other items as a source of cash of about $100 million. That gets you close to the $9 million decrease in net debt for the year. The rating agencies have recognized our strengthened financial profile. Last week, S&P upgraded us to BBB positive. Fitch upgraded us to BBB+ during the summer of 2025, and we're on positive outlook by Moody's. So as has already been mentioned, but I'll mention it again, 2025 was an exceptionally strong year, a record setting year, in fact. We beat our budget and delivered double-digit earnings growth. We grew our backlog from $8.1 billion to $10.0 billion despite placing $1.8 billion of projects into service, meaning we added $3.7 billion of projects to the backlog during the year. We improved our balance sheet. We achieved credit rating upgrades and expect meaningful cash flow benefits from tax reform which will generate additional investment capacity. We have very positive momentum heading into 2026. And with that, I'll turn it back to Kim.
Kimberly Dang: Okay, Michelle, if you'll come back on, and we'll take questions.
Operator: [Operator Instructions] Our first caller is Julien Dumoulin-Smith with Jefferies.
Julien Dumoulin-Smith: Look, if I can kick it off more on the data center front. You guys talk about the 70% number with respect to where you have exposure and aligned with data center opportunities. Can you talk a little bit about what you're seeing actively on that front? Obviously, we saw the FTC announcement here, perhaps that speaks to that a little bit. But how do you think about that regionally in terms of further data points we should be seeing through the course of the year? And I've got a quick follow-up.
Kimberly Dang: Okay. I'm not exactly sure about the 70%. But if you look at our $10 billion backlog, about 60% of our backlog is associated with power projects. That's not just data center, that's anything associated with power. And if you think about the opportunities on the power side, I think a great example is if you look in the state of Georgia, where Georgia Power, recently, I think the end of November filed a revised IRP. And they're projecting 53 gigawatts of power demand between now and the early 2030s. And so from a gas perspective, if that was 100% gas, that would be like 10 Bcf a day, roughly, depending on the conversion metrics you use. And we expect that a significant portion of that will be gas, and that's just one utility in one state. And so what we're seeing across our network, whether that's in Georgia or South Carolina or Louisiana or Arkansas or Texas or New Mexico, Colorado, mean we are seeing similar stories just across our network. And the other thing is you look at power demand, we've got a higher power demand growth between 2025 and 2030. Wood Mac has in their most recent estimates increased theirs. And if you look at Wood Mac between 2030 and 2035, they think the power growth, at least in their projections, is greater between 2030 and 2035, than it is in their projections between '25 and '30. So this is something that is driving significant amount of projects. It's also a significant driver of the potential opportunities that we have, and we think will last for a decade.
Julien Dumoulin-Smith: Excellent. If I can just firm up a little bit more on the SSE5 setup and timing. What are you looking to move forward on that? How are you thinking about timing? And then even more specifically, if you could speak to -- are you thinking about this as being a compression first or looping kind of project initially? And what level of signed utility load would unlock a more formal filing?
Sital Mody: Yes, Julien, this is Sital. So look, in terms of timing, we see strong interest in the Southeast, and we continue to work with the customer base. In terms of what the final scope looks like, that all depends on final subscription. I do see it more than just compression. I think there could be some more brownfield looping. But once again, it's early. We're working through the demand dynamics with our customer base. We do see opportunity there, and it is competitive. So we will continue to report as we go along. But ultimately, the signed deal is what drives the announcement.
Operator: Our next caller is Jackie Koletas with Goldman Sachs.
Jacqueline Koletas: First, I just wanted to start on the next steps on the Western Gateway following the second open season launch last week. How do you think about allocating capital towards this project versus natural gas opportunity set? And how do those returns compare?
Kimberly Dang: Yes. I mean on every project, we look at based on risk and return. And so I think we have a middle-of-the-road return that we expect and then we vary off that based on the stability, the duration and the creditworthiness of the cash flows. And so it's -- you've got stronger creditworthy parties and longer cash flows and take-or-pay, then you come off that return -- down from that return a little bit. And if you have those things are less and you go above that return. All these returns are significantly above our cost of capital. And so I think if we proceed on Western Gateway, we will have long-term shipper contracts there. And I expect those shipper contracts will be largely from creditworthy counterparties. And if not, we would have some credit support. So we don't, at this point, have limited capital. I think we can easily fund this project and do all the natural gas projects that we're talking about. Another point I'd point out on Western Gateway, which is we are contributing assets to that. And so our cash contribution will be less than we're going to -- we're setting up a 50-50 joint venture with P66. It would be less than half of the cost of the overall project because we're contributing value for -- contributing assets for part of our contribution.
Jacqueline Koletas: Got it. That's helpful. And then just as a follow-up, leverage ended around 3.8x in the quarter. How do you think about maintaining leverage levels towards the midpoint of your long-term guide of 3.5 to 4.5x range versus leveraging up towards that high end if there are multiple CapEx opportunities?
Kimberly Dang: Well, I'd say right now, what we've said is we're going to spend about $3 billion per year in CapEx. Now that won't be a perfect ground, $3 billion because you just have timing of spend, but roughly $3 billion a year. And we have the ability to fund that 100% out of cash flow. The other thing I'd point out is that as our $10 billion backlog of projects come online that our debt-to-EBITDA actually declines over time. And so that creates more balance sheet capacity. So for every 0.1x of leverage, that's $850 million of capacity. So I think we've got a ton of capacity even without leveraging up closer to the 4.5x. And I don't think we have intention of getting close to that level. So I think we've got plenty of capacities to accommodate the opportunities that we see out there.
Operator: Our next caller is Theresa Chen with Barclays.
Theresa Chen: Kim, I hear you loud and clear on the less than 50% of capital contribution on Western Gateway because you're contributing SFPP. When we think about the net EBITDA impact to Kinder, and I'm assuming this project moves forward, how should we quantify the displacement of existing SFPP EBITDA? How much is that contributing currently?
Kimberly Dang: Well, I think, 2 things. One, Theresa, I think we're really early. And so we've got to get through the open season, we've got negotiations to do with our partner on the specifics. So I think -- and so I think we've got to finalize costs, et cetera. So I think it's too early to go through that at this point.
Theresa Chen: Understood. Maybe turning to a different portion of your liquids business. Could you provide an update on the progress of the HH conversion? And in light of recent upstream developments in the Bakken and the increasingly challenged near-term outlook for the basin, how are you thinking about the expected NGL throughput and EBITDA contribution from this project?
Kimberly Dang: Sure. I mean the project is going to come on probably late first quarter, early second quarter and that's Phase 1. And then with respect to the future phases, that's something we continue to work on.
Sital Mody: Yes. I mean, Theresa, Broadly, though, I mean, we still -- given the recent pullback, it's just a matter of time. I think our initial phase is well contracted. We see the volumes behind it. These are coming from our plants, and so we have visibility there. So I don't think, as far as Phase 1 is concerned, and that is probably on the earlier side of the time frame that Kim gave you in terms of where we come in. I think as we look to the next phase, we continue to have discussions, positive discussions with our customers. We'll monitor the overall macro situation, and we'll make the investment decision accordingly. That being said, we still have that in front of us.
Kimberly Dang: Right, and I think the other thing is GORs are growing in the Bakken.
Operator: Our next caller is Michael Blum with Wells Fargo.
Michael Blum: Yes, maybe if I could just ask maybe a different way at the same question to some degree, with Continental Resources effectively saying they're going to stop drilling in the Bakken. I'm wondering if you can talk about, at least for now, can you talk about how meaningful a customer they are, either your current business? Or where they were contemplated to be for HH and if that has an impact on the further expansion?
Kimberly Dang: So yes, if you look at the EBITDA that we get from Bakken or EBDA, it's about 3% of Kinder Morgan overall. Obviously, Continental makes up a piece of that. We don't think that there's going to be any material impact from the Continental news. We think that the impact is very manageable, that's one because it's 3% of our EBITDA. But it's also because volumes came into the year a little stronger than we were expecting. And it's also because they're going to continue to complete wells through August and because they are just one of a number of customers we have up there.
Michael Blum: Okay. Great. That makes sense. And then I just wanted to ask, in light of the asset sale that you did here in late 2025. Are there more noncore assets that you're actively looking to sell? And strategically, are there segments or areas of the business that you're more inclined to reduce your exposure to?
Kimberly Dang: Okay. Yes. Let me talk about the EagleHawk sale first. First of all, on that, that's not an asset that we were looking or planning to sell. Our partner approached us because they were selling at least a portion of their interest and based on the price that we could achieve it made sense to sell. It's an 8.5x multiple on a nonoperated minority interest in the GMP asset. And when we looked at the reinvestment opportunity, meaning if we were buying at the price that we propose to sell and we look at the cash flows, those were going to be below our cost of capital. So -- and that included taking in into account any tax impact from the sale. So we thought it made sense. It was a good economic decision to sell that asset and recycle that capital. And so that's generally the way that we have been approaching sales of assets, which has been more opportunistic. As we say, our assets are for sale every day at the right price. And so we want to make good economic decisions about that. We like the portfolio of assets that we have today, 60 -- it's 2/3 natural gas and 26% is products, pipelines and terminals, very similar pipeline and storage business. So similar -- and then 7% is CO2, which is a little bit different, but we get great returns on that business, and we have an expertise that a lot of people don't have. So I think we're very comfortable with the suite of assets that we have, and this was just an opportunistic sale that made sense.
Operator: Our next caller is Jeremy Tonet with JPMorgan.
Jeremy Tonet: I was just curious for your thoughts, I guess, industry at large and what opportunities it could present to you down the road just if we think about Waha egress. One, we have some pretty cold weather coming up in -- during Uri, that presented opportunities for Kinder last go around. So just wondering if you could share any thoughts there.
Sital Mody: Well, look, we -- as always here, when we look at the footprint, given our footprint, we're able to leverage basis dislocations that occurred. First and foremost, we want to serve our customers. And then to the extent that these opportunities present themselves, we've been taking a little more of a proprietary view on certain things in certain areas, strategically, small amounts. And so to the extent that, that presents itself, we'll be able to leverage that.
Kimberly Dang: Yes. But I don't think -- this storm is not a Uri.
Sital Mody: It's not a Uri.
Kimberly Dang: I mean it's much shorter in duration and it's not going to be as significant. So...
Jeremy Tonet: Understood. It seems like there might be another one on its  heels. So we'll see what happens this winter again.
Kimberly Dang: Generally, what I would say is that the gas transportation market is very tight. And so whenever you see dislocations in supplier demand in and around our assets, that is going to present opportunities for us. And that's part of what you saw in the fourth quarter of this year.
Sital Mody: Yes. I mean a key component of that is storage for us, and we have a significant storage portfolio that will allow us to leverage some of that to the extent that it presents itself.
Jeremy Tonet: Got it. And then just wanted to dial in on NGPL a little bit here, hearing more data center-driven opportunities in the Midwest, coal to gas switching as well, some of the other nat gas pipeline operators are seeing a lot of activity there. I'm just wondering if you could talk about what that could mean for Kinder -- for NGPL.
Sital Mody: Yes. So look, we've -- we're quite a bit of -- there's significant discussions. You've been seeing some of the EBB postings we've been making out there. We've got interest along the pipeline in terms of not only just from power customers but also from organic markets that are trying to grow. Still early on some of these projects. We've got some binding commitments that we're looking to convert into full-fledged FID projects, as these develop, we'll bring them. But I mean, when you think about the corridor itself, we see a concentration up in the market area. We have some in the producing regions where folks are looking to site themselves. And so I think the opportunity set is there. It's just, once again, we're in this mode where folks are looking -- there's -- it's a competitive landscape, and so we want to make sure we secure the returns that we need to progress the projects to FID.
Operator: Our next caller is Jean Ann Salisbury with Bank of America.
Jean Ann Salisbury: You said in the prepared comments that MSX could be in service a couple of quarters early, I think. Is there any read across to a faster permitting process across the board? Or was that project specific?
Kimberly Dang: No. I mean I think a couple of things on these projects. One is 871 is gone, and that happened, I don't know, 6 or 9 months ago. And that basically required us to wait 5 months between when we got our FERC certificates and when we could start construction. So that's gone. And then the FERC has acted within -- is going to act within roughly 1 year on our filing. And so previously, we've been seeing that take a little bit longer than that on big projects. And so the fact that the FERC process only took 12 months and we don't have 871 is speeding up our in-service on MSX from, call, the fourth quarter of '28 to the second quarter of '28.
Jean Ann Salisbury: Great. That's very clear. And then one of your peers took an equity stake in a U.S. LNG terminal a few months ago. Is that something that KMI is actively looking at or would have interest in, especially, I guess, if you could back to back it with another counterparty to make it take-or-pay equivalent?
Kimberly Dang: To make it -- well, I'll say a couple of things on that. Generally, what we've seen on the LNG front is the returns haven't been where we needed them to be to make those investments. And it's not something that we are accustomed to building. We do a small one, obviously, at Elba, but that was a relatively small facility. And so I think in general, what you should expect from us is that we are kind of sticking to our knitting, we're staying in our lane. We are serving those LNG -- that LNG demand through our pipelines. And right now, we serve 40% of that demand. As Rich said, that demand is expected to grow significantly, and we expect to get our fair share of that future demand, and that's driving very nice project opportunities for us. So I'm not saying we would never step out. It's just there hasn't been the opportunity where we thought the risk return profile was appropriate. And we haven't wanted to build these on our own.
Richard Kinder: I think another thing we like on a risk-return basis is the fact that both on the LNG terminal side for feed gas and on the service to -- for electric generation purposes, we have, in general, take-or-pay contracts with utility grade -- investment-grade utilities. And that, we think, is a very good way to look at the risk that we are taking. And we think that minimizes any risk that we have as opposed to contracting directly with AI developers, for example.
Operator: Our next caller is Keith Stanley with Wolfe Research.
Keith Stanley: You updated the messaging on CapEx to at least $3 billion a year of growth CapEx for the next few years, up from $2.5 billion. Wanted to clarify, is that solely based on the sanctioned project backlog today? So if you keep FID-ing new projects and the backlog grows, CapEx could be above $3 billion a year for the next few years? Or is that already reflecting your best estimate over the next few years?
Kimberly Dang: I'd say it's largely based on the $10 billion approved project backlog, but there is some view, there is a small portion that is based on getting some of the $10 billion in the opportunity set. So -- and look, I think that we updated it from $2.5 billion to $3 billion, given the $10 billion, given we continue to add to the backlog even after putting projects in service. So this year, when we were putting all those projects in service at the beginning of the year, we thought it might come down. It's continued to increase natural gas demand, we continue to see it grow between '25 and '30, but also beyond that. And so there may be the opportunity to extend that further, but we're not ready to do that -- or make it higher, but we're not ready to do that at this point in time.
Keith Stanley: Got it. Second question, just wanted to follow up on the earlier one on Mississippi Crossing. So if you're 6 months early on that project and on -- potentially on some of the other bigger ones given the regulatory environment. Would your contracts kick in and you'd have pretty close to a full financial contribution right away at that earlier date? Or is that not the case?
Kimberly Dang: It's a project-by-project analysis. In this case, the answer is no, the customers don't have to take it at that point in time. They can. I mean, they can elect to take it, but they don't have to. And I would say that being early on the regulatory front does not directly translate into day for day on the in-service. It's going to depend on the projects because once you move back that regulatory, once you get sooner approval from a regulatory perspective, you have to think about when you're getting pipe and when you're getting compression. And so, for example, we haven't seen that translate into much of an earlier date on South System 4 at this point in time. So it's project by project. But if our customers don't want that capacity, it will be available for us to use during that time.
Sital Mody: And given the macro environment, Keith, I mean, you just think about the demand profiles that are coming our way, it's just -- you look at that as an opportunity to sell in the secondary markets.
Operator: Our next call is Manav Gupta with UBS.
Manav Gupta: Firstly, congrats on all the upgrades from rating agencies, reflects the strong quality of the management and execution. I wanted to ask you about the Florida Gas Transmission projects, both the projects. How did these come about? Can you give us more details? And then the last one year, what you have seen is you announced the project and then end up upsizing it. So if you could talk about the possibility of some upsizing here for these projects.
Sital Mody: So Manav, this is Sital. So just in terms of the project itself, as you know, we're not the operator. Energy Transfer is the operator. So we'll let them talk about how it came about on the call. We've been working with them closely. Thematically, it's the same themes we've been talking about in the Southeast. We see that as a growth area, just broadly. And this is just another example of us getting incremental infrastructure to an area where there is significant growth. There's also a resiliency component there with the 2 projects. We think it makes sense in terms of whether or not the project gets upsized. We're in the process of having an open season right now. That open season closes here, I think, Feb 5, if I'm not mistaken. And based on the interest there, is it possible to upsize? Yes, if there's a demand for it.
Kimberly Dang: Yes. I'd say both those projects are backed by long-term contracts with creditworthy counterparties. And so I mean, they are right down [Technical Difficulty].
Manav Gupta: Perfect. And my quick follow-up here is, at the start of the call, you mentioned that the 4Q turned out to be stronger than what you thought when you announced your 3Q results. So help us understand some of those tailwinds which help you drive the beat in 4Q? And are those still persistent out there? So should 1Q also turn out pretty strong, if you could talk about that.
Kimberly Dang: Sure. So I mean, it was across the gas network. So it was our intrastate business, it was our interstate pipes and it was our gathering assets. And so as we said before, when you [Technical Difficulty] and this goes more to the outperformance on the intrastate.
Operator: This is the operator, please standby. And speakers, please go ahead. The next question comes from Jason Gabel.
Jason Gabelman: It's Jason Gabelman from TD Cowen. Hopefully, the storm isn't hitting you too hard down there. Maybe to start and to help everyone out, maybe we could just replay Manav's question because I was interested in the answer to it. I didn't quite hear. So just wondering what drove the earnings upside on the natural gas segment in 4Q. It sounded like some of it was driven by pull from LNG plants. So did some of these plants start up earlier than you had expected in the plan? Or were there other factors at play?
Kimberly Dang: I mean, it was -- look, it was across the entire gas business. So it was a lot in our Texas intrastate market.  It was in the Eagle Ford and the Haynesville on our gathering assets. And then it was also on the interstate markets more so in the Northeast than other areas. And so it's a function of having a very tight pipeline and storage network and that's going to create opportunities when you have supply or demand dislocations that could be weather, that could be LNG coming on or off, it could be a variety of factors, but that leads to volatility and upside for us. And there is the potential for that to happen again in 2026.
Jason Gabelman: Great. And my follow-up maybe staying on the topic of LNG. It seems like the market is facing this upcoming global supply glut and maybe you get a bit of a slowdown in the pace of new liquefaction project sanctions here in the U.S. Gulf Coast. So just wondering how much of that project backlog, if any, is tied to servicing incremental projects? And I guess it's not the project backlog. It is the shadow project backlog and projects -- LNG projects that are associated with that shadow backlog.
Kimberly Dang: Yes. So a couple of things. I'd reiterate the point Rich made a minute ago, which is -- the -- we have long-term take-or-pay contracts with these LNG facilities. And so those typically are 20- to 25-year contracts, and they pay whether they use that capacity or not. In our current backlog, about 12% of the $10 billion actual approved project backlog -- 12% of the shadow backlog is associated with LNG. So it's not a huge percentage. I think a lot of the shadow backlog, again, is going to be more on the power front. But the other thing I'd say is that when you look at these LNG projects, it's not always about adding a new facility. A lot of times, it's about an existing facility has some capacity and they want to reach further back to get more competitive supply. So to have incremental project, you don't have to have a new facility come online. It could be a need from an existing facility to try to get more competitive supply.
Operator: And at this time, we are showing no further questions.
Kimberly Dang: Okay. Thank you, everybody.
Richard Kinder: Thank you. Have a good day.
Operator: Thank you. This concludes today's conference call. You may go ahead and disconnect at this time.